Operator: Ladies and gentlemen, thank you for standing by and welcome to the Ceragon Networks Q2 2023 Earnings Call. [Operator Instructions] I’d like to hand over the call now to our first speaker today, Mr. Rob Fink, Head of Investor Relations. Please go ahead, sir.
Rob Fink: Thank you, operator, and good morning, everyone. Hosting today’s call is Doron Arazi, Ceragon’s Chief Executive Officer; and Ronen Stein, Chief Financial Officer. Before we start, I would like to note that certain statements made on this call, including projected financial information and other results of the company’s future initiatives, future events, business outlook, development efforts and the potential outcome, anticipated progress, results and time lines and other financial and accounting related matters constitute forward-looking statements within the meaning of the Securities Act of 1933, Securities Exchange Act of 1934 and the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Ceragon uses forward-looking terminology such as believes, expects, may, will, should, anticipates, plans or similar expressions to identify forward-looking statements. Such statements reflect only current beliefs, expectations and assumptions of Ceragon’s management. But actual results performance or achievements of Ceragon may differ materially as they are subject to certain risks and uncertainties, which could cause Ceragon’s actual results to differ materially from those projected in such forward-looking statements. Such risks and uncertainties include, but are not limited to those that are described in Ceragon’s most recent annual report on Form 20-F and as may be supplemented from time to time in Ceragon’s other filings with the SEC, including today’s filing of the earnings press release, all of which are expressly incorporated herein. Forward-looking statements relate to the date initially made. They do not purport to be predictions of future results, and there could be no assurance that they will prove accurate, and Ceragon undertakes no obligation to update them. Also, today’s call will include certain non-GAAP numbers. For a reconciliation between GAAP and non-GAAP, please see the tables attached to the press release that was issued earlier today. With all that said, I’d now like to turn the call over to. Doron. Doron, the call is yours.
Doron Arazi: Thank you, Rob, and good morning, everyone. This was another strong quarter for Ceragon Networks. Demand for our solutions continues to increase, and we have successfully grown our presence in key geographies. For the second quarter in a row, revenue surpassed $80 million in our book-to-bill ratio, again exceeded 1. We are profitable, generated positive free cash flow and expanded our credit facility with existing lenders further solidifying our liquidity. Importantly, the momentum we experienced in Q1 continued in Q2, and to date, we have not seen any slowdown in customer spending or any of the softness or pressures that some technology providers in adjacent areas of our industry have spoken about. Our performance in the first 6 months of 2023, combined with improving visibility into the third quarter has given us the confidence to increase our full year outlook. Revenue for the quarter was $86.2 million, up 22% year-over-year. Our book-to-bill ratio was again over 1. In fact, our bookings increased sequentially compared to Q1 with particular strength in India and North America, bolstering our confidence in continued momentum. Additionally, we are solidly profitable with $0.05 in non-GAAP earnings per share. Our sales execution in key regions has improved. And the new leadership in Europe, we went through significant organizational restructuring during the quarter. We see a significant opportunity to expand in Europe and are optimistic that the new leadership and this business focused new structure will better position us to drive growth. We are cognizant of the macro environment, and we have seen large players report soft results and outlooks. However, those challenges have not impacted our business. We believe that the demand for wireless transport solutions is driven primarily by the relatively faster time-to-market and lower cost, yet satisfying the increased capacity needs. We are working hard on leveraging our robust products and services offering to capitalize on this situation and are pleased with the results. For the second quarter in a row, the results also demonstrate the improving earnings power of our organization, reflected in expanding gross margins, disciplined operating expenses, investments and improved efficiency. We delivered $2.1 million in GAAP net income in the second quarter and $4.4 million in non-GAAP net income. Ceragon has built a solidly profitable business model, a robust backlog and a diverse set of solutions that address key CapEx and OpEx goals for customers around the world. We have not encountered any significant impact from supply chain disruption in the quarter. And while we continue to carefully manage the supply chain, component availability continues to improve. Our geographic diversification continues to benefit our revenue. In the second quarter, we generated sequential and year-over-year revenue growth in India and year-over-year growth in North America. In India, we generated our fifth consecutive quarter of revenue over $20 million, our highest quarterly revenues in the recent years and continued strong bookings. In North America, we generated revenue of $22.2 million, down from the record of $26.4 million in the first quarter, but up from $15 million in the second quarter last year. We continue to advance the productization of our new System-on-a-Chip technology. To-date, our efforts are advancing according to plan. And while there is much work to be done, we believe we remain on track to launch our new product line in 2024. In addition, in the coming months, we expect to launch new products featuring a lower total cost of ownership. We believe these new additional products will help us expand our market presence and offer tangible benefits to our customers. These products are also expected to help us with our long-term goal of improving gross margins. I’d now like to give an overview on our Q2 highlights by region. Noting that on today’s call we will focus primarily on activities in North America and India, the two regions that have and we expect will continue to have the greatest impact on our quarterly results. In North America, the 5G build continues to be strong, especially with Tier 1 carriers. We have continued to receive orders from major carriers, with one customer driving a significant portion of our volume. We have been engaging on new opportunities where technology can be deployed in new ways. For example, we recently signed an agreement to partner with one of the leading open run vendors to deliver a wireless high-capacity, low-latency multi-gigabit transport solution for Caribbean customers’ new 5G open radio access network. We utilized our existing IP-50FX disaggregated open router, providing the customer with an advanced switching and open routing solution. The deployment of this project is ongoing, and we have received very positive feedback from the end customer. We are also expecting additional business to expand network and support network operations. This represents the first of its kind open-run, open-routing and open transport project in North America. We are also pursuing municipal and infrastructure-related contracts, including recent wins. A great example is the multiyear contract worth up to $4.2 million with the City of Cincinnati we signed during the quarter to upgrade the city public safety network. Ceragon is deploying a multi-technology multi-service solution that provides a robust modernized backhaul and routing solution, followed by a long-term maintenance and support plan. This solution includes turnkey services, including design and engineering, equipment rollout and integration of the solution to enable the city to support mission-critical applications such as artificial intelligence, automation and real-time video. We continue to see many opportunities that introduce additional potential demand for our solutions. The 5G higher frequencies availability as well as the evolving need for heterogeneous services profiles with guaranteed level of service to different end users are driving up this potential demand. This demand is also reflected in multiple RFPs in which we participate, covering all segments of our addressable market, namely Tier-1 operators, rural ISPs and small carriers as well as private networks. Some of these opportunities, particularly in the rural broadband and critical infrastructure segments may take longer to mature as they are also supported by federal and state funding plans. These initiatives remain a critical area for incremental opportunity and diversification for our business. We believe we are increasingly well positioned to capitalize on all of these opportunities when they mature. I’d also note that we have been successful in increasing our services business in the region, which often can double the value of an individual deal. In India, telcos continue to aggressively invest in 4G technology network while beginning to deploy 5G in certain regions. We are working with operators in the market for 5G rollout and enhancement in selected regions. 4G continues to be the dominant subscription type in India, with 4G subscriptions expected to peak in 2024. Simultaneously, the 5G rollout is accelerating, especially in urban areas. We continue to deliver our products for 4G networks as well as delivering our E-band, multiband solution for 5G networks at an increased pace. We delivered another strong booking quarter in India, giving us improved visibility for revenue for the second half of the year. Demand remains robust. We are anticipating promising growth with 5G adoption, a trend that is accelerating as 5G handsets become more and more affordable. To summarize, we are delivering solid execution and conditions continue to improve, both on the macro and the micro level. Demand for our solutions is strong, and supply chain availability has been getting better. Quarter-to-quarter variability in our financials is always a reality, but trailing 12-month trends for our business, which we think are a strong indicator to our performance trajectory are solid and improving, both from a revenue and a profitability standpoint. We believe we can deliver a similar revenue trajectory for the foreseeable future and that we can be profitable on a non-GAAP basis for each quarter this year. Before I turn the call over to Ronen to walk through the numbers, I wanted to mention that we filed our proxy statement with the SEC for the 2023 Annual General Meeting, where we have nominated Ilan Rosen, who has been serving on our Board since July 2021, as the new Chairman of our Board of Directors. Ilan brings significant corporate governance expertise as well as track record of successful M&A and value creation. He also has significant experience in the telco industry. He currently serves as a Managing Director of HarbourVest Partners, LLC, a global private equity firm. We have also nominated Ms. Yael Shaham to be appointed by the shareholders as a new Independent Director on our Board. Yael has more than 25 years of experience in management and strategic leadership roles and the wealth of business and technology knowledge, particularly in leading the development of robust software solutions for the telecom space and selling them under managed services models. We believe that Yael’s vast experience can be a great contributor to us in advancing and executing our strategy. With that, I’ll turn the call over to Ronen Stein, our CFO, to discuss the results in more details. Ronen, over to you.
Ronen Stein: Thank you, Doron, and good morning, everyone. As Doron outlined, this was another strong quarter for Ceragon. Though it is important to keep in mind that we are a project-driven business, and as such, there is inherent variability in results from quarter-to-quarter. Because of this, we analyze our bookings, revenue and gross margin as well as other key performance indicators over a 12-month period, a duration which we believe better reflects the underlying business trends. In addition, to help you understand the results, I will be referring primarily to non-GAAP financials. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today’s press release. Let me now review the actual results. Revenues were $86.2 million, an increase of 21.9% compared to $70.7 million in Q2 2022 and up 3.3% compared to $83.4 million in Q1 2023. When we take the trailing 12 months view, our revenue was $323.7 million, an increase compared to last quarter’s trailing 12 months revenue of $308.3 million. Our strongest regions in terms of revenues for the quarter were India and North America and with $26.9 million and $22.2 million, respectively, in line with the continuous strong demand we see in these regions. Our third strongest region in terms of revenues was Latin America with $12.6 million. We had two customers in the second quarter that contributed more than 10% of our revenues. Gross profit for the second quarter on a non-GAAP basis was $30.4 million, an increase of 41.2% compared to $21.5 million in Q2 2022 and an increase of 7.2% compared to $28.4 million in Q1 2023. Our non-GAAP gross margin was 35.3% compared to 30.5% in Q2 2022 and 34% in Q1 2023. We have achieved high gross margins even as revenue from India grew as a percentage of consolidated revenue, mainly as a result of improved product mix, including more software revenue and further cost optimizations offset partially by higher inventory write-offs. Our gross margins continue to fluctuate from quarter-to-quarter due to changes in product and regional mix. When we take the trailing 12 months view, our non-GAAP gross margin was 34.5%, an increase compared to last quarter’s trailing 12 months gross margin of 33.4%. This upward trajectory of our gross margin trend reflects our ability to increase margins when we execute on our strategy and operational efficiencies. As for our operating expenses, research and development expenses for the second quarter on a non-GAAP basis were $7.6 million, up from $7.5 million in Q2 2022, and slightly lower from the $7.7 million in Q1 2023. As a percentage of revenue, our R&D expenses were 8.8% in the second quarter compared to 10.6% in the second quarter last year. Sales and marketing expenses for the second quarter on a non-GAAP basis were $9.4 million, up from $9.1 million in Q2 2022 and down from $9.8 million in Q1 2023. As a percent of revenue, sales and marketing expenses were 10.9% in the second quarter compared to 12.8% in the second quarter last year. General and administrative expenses for the second quarter on a non-GAAP basis were $6.1 million, up from $4.6 million in Q2 2022 and up from $5 million in Q1 2023. As a percent of revenue, G&A expenses were 7% in the second quarter compared to 6.5% in the second quarter last year. We intend to continue being disciplined in our operating expenses while leveraging our strong results to further invest in certain areas to support continuous profitable growth. Therefore, we estimate average quarterly operating expenses in the second half of 2023 to range between $22 million to $23 million. Operating profit for the second quarter was $7.4 million, up approximately $7 million from the operating profit of $0.4 million in Q2 2022 and up $1.5 million sequentially from the operating profit of $5.9 million in Q1 2023. Please note, this non-GAAP metric excludes a charge related to restructuring and related charges in Europe, amounting to $0.9 million. Financial and other expenses for the second quarter on a non-GAAP basis were $2.2 million, in line with expectations. Our tax expenses for the second quarter on a non-GAAP basis were $0.8 million. Net income on a non-GAAP basis for the quarter was $4.4 million or $0.05 per diluted share compared to a net loss of $2.5 million or $0.03 per share in the second quarter last year. The second quarter net income was up $0.8 million from net income of $3.6 million or $0.04 per diluted share in Q1 2023. As for our balance sheet, our cash position at the end of the second quarter was $24.5 million, and our short-term loans stands at $39.6 million. During the second quarter, we increased the bank loan facility to $72 million and extended the maturity date for an additional year until June 30, 2024. We believe we have cash and facilities that are sufficient for our operations and working capital needs. Our inventory at the end of Q2 2023 was $67.8 million, down from the $72 million at the end of December. We continue to monitor inventory levels, taking into consideration the improvements in availability of components and expected changes in demand. Our trade receivables are at $107.6 million as compared to $100 million at the end of December. Our DSO now stands to 121 days. As for our cash flow, net cash flow generated by operations and investing activities in Q2 2023 was $0.4 million. We expect to generate positive cash from operations for the full year. As Doron indicated at the top of this call, demand in our business continues to be strong, and we are encouraged by our bookings, which give us good visibility into the third quarter. Based on our results through the first half of this year, we are raising our full year revenue outlook from $325 million to $345 million to $334 million to $348 million and reaffirming expectations for full year profitability. The outlook we are providing today is based on our current visibility, and it leaves us some room for adjustment as we progress further into the back of the year. With that, I now open the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Alex Henderson from Needham. Please go ahead.
Alex Henderson: Great. Thank you so much. I was hoping you could talk a little bit about the margins, specifically in India. Historically, India has had gross margins that are substantially lower than the corporate average. But it’s often been a case that you’ve been shipping very low-end products into that geography because of their 3G and lesser extent 4G networks. As they move to 5G, do you expect to be able to ship them a better mix of software and 5G-related feature sets that ultimately allow you to get somewhat better margins? Or alternatively, is the Indian bias to very low pricing going to continue to result in significantly below margin shipments into that geography?
Doron Arazi: Hi, Alex. This is Doron. So thank you for your question. India is India, and will remain India, which means a very, very high pressure on prices, which results in relatively low margins that will continue. The only difference is that when they buy configurations that are more robust, they buy a bigger piece of software as part of the deal, and that can create some difference in the gross margins either between quarters or between years depending on their decisions, how to invest in the network. So in general, we still expect the margins in India to continue, on average be more or less the same with some fluctuation depending on their buying decisions.
Alex Henderson: Okay. So we don’t expect the Indian margins to improve at all. It’s stable. So clearly, North America has much greater margins, but India is probably stronger in terms of overall sales. So I guess the question is you’ve had very good gross margins, 34%, 35.3% in the first and second quarter. What are we thinking about in terms of gross margins into the back half? Are we down – back down into the 33% to 34% range or, what’s the trajectory there?
Ronen Stein: Well, we don’t have exact trajectory for the full second half of the year. So we assume it will continue to be in line more or less with our trailing 12 months. It could be a bit less or it could be a bit more. It’s very difficult to predict at this stage.
Alex Henderson: So I guess that would suggest the higher margin up – at the upper end of your historical range because you averaged over 34%. Is that fair?
Ronen Stein: Around this number, yes, it could be. It could fluctuate between Q3 and Q4. We don’t have yet the full visibility, but this is the range where we are at, assuming North America and India will continue to perform as they performed until now.
Alex Henderson: You called out improving costs and an inventory write-off. Can you give us a sense of the size of the inventory write-off that was absorbed in the quarter?
Ronen Stein: No, we don’t give these details, but we do wherever it’s necessary. Of course, due to expectations of shifts in demand and shifts, as Doron explained earlier in the – in our portfolio, we do all the time the assessments, and we act accordingly.
Doron Arazi: Just to add to this point, Alex, we – generally speaking, we have a methodology of inventory inspection and provisions for obsolete inventory that we’ve been using for many years. It’s always part of our non-GAAP numbers. And therefore, we don’t disclose the specific number as we don’t disclose many other components that are comprising our cost of revenue. We just noted that because there were some things for the up, and we also wanted to make sure that investors understand that there were some things further down in terms of the impact on our gross margin this quarter.
Alex Henderson: Well, we’re taking an inventory write-off and still getting 35.3% is pretty good result. One more set of questions. On the interest line, you’ve changed your provisions with your creditors. So can you give us some guidance on what that impact is and what the interest expense line ought to look like in the 3Q, 4Q timeframe? And similarly, can you give us some sense of the tax rate?
Ronen Stein: Well, on the financial expenses, you have the data about the – our loans. The loan facility change as it is does not change much. We cannot expect exactly the changes in interest rates. Right now, in this quarter, we already see a 0.25% increase in the software. So we could expect a slight increase in this quarter, and it really depends on the actual use. We don’t see much change in our use of the facility – of the loans facility. Although as we progress to a better positive cash flow we may reduce it slightly, but it will not have a great impact. So to summarize, it will remain more or less in the same level and fluctuations might be mainly due to foreign exchange that we cannot hedge.
Alex Henderson: Was there any ForEx in the 2Q number that – I mean, it was up over $300,000 quarter-to-quarter.
Ronen Stein: It was not material to any size. It was a relatively reasonable number in terms of going backwards to the most recent quarters. Yes.
Alex Henderson: So, you are suggesting that we ought to be using around the $2.1 million level for both 3Q and 4Q?
Ronen Stein: Yes. The level that we saw in Q2 is more or less the level – I cannot expect – in terms of forecasting, I cannot say something else.
Alex Henderson: Yes. Okay. And then on the tax rate side?
Ronen Stein: So, the tax is a bit more complicated because the taxes – because we have so many losses, the taxes are more impacted by some local rules in different geographies and different states, and it’s a bit difficult to predict. But you see that there is no much changes, a bit increased. As level of revenues increase, it should increase accordingly, but not – it cannot be modelized easily.
Alex Henderson: Right. So, you did 439 in the first quarter, 787 in the second quarter. Should I take the average of those two and extrapolate that to the back half?
Ronen Stein: It could be a good – could be a reasonable idea.
Alex Henderson: Okay. I will see the floor. Thanks.
Ronen Stein: Thank you, Alex.
Operator: Our next question today comes from the line of Scott Searle from ROTH Capital. Please go ahead.
Scott Searle: Hey. Good morning. Good afternoon. Nice job on the quarter. Thanks for taking my questions. Maybe just to quickly follow-up on Alex’s question for clarification. In terms of the inventory write-off, I just want to be clear, was that you took inventory write-offs in the quarter, or there was a benefit of previously written off inventory in the quarter? And then as well on the OpEx, I apologize if I missed this, but the G&A was a little bit elevated versus the last several quarters. Are there any one-time charges in there that we should normalize out? And then I had a couple of follow-ups on geographies and products.
Ronen Stein: So, regarding the inventory, it was just a write-down of inventory to a certain extent for this quarter. It could be – in any quarter, it could be higher or lower inventory write-offs. So, we cannot predict that. As we said, we monitor it. We have models and we continue to monitor it even beyond the models to ensure that we have a proper recording of this of inventory. With respect to the G&A, as I just mentioned, I cannot say that things were specifically one-time. Some things could be a little bit higher or lower in specific periods. In general, as you say – as you see, we have provided some guidance. I provided some guidance earlier to the expected operating expenses in general for the next two quarters.
Scott Searle: Great. Okay. Thank you. And maybe if I could, geographically, North America, one of the regions that continues to be strong for you, it sounds like the order book continues to build there as well. Can you give us a little bit of an idea of where the order book is coming from? Is it more private networks, or are we starting to see a little bit of an acceleration on the operator side? In particular, DISH has been behind on some of their build-outs at least in terms of geographic coverage as opposed to PoP coverage. And I am wondering if you are starting to see that start to pick up now as we go into the back half and into 2024?
Doron Arazi: So, generally speaking, the strength in North America was actually primarily, at least for us, led by the Tier 1 operators. And we see these operators making the decisions about investing in wireless transport based on their own, so to speak, programs. They are not adopting the same strategy of rollout. And therefore, the numbers, and obviously, the timing could change among them. But I think that the strength so far was driven by the Tier 1 operators, at least for us. Do we still see this trajectory continues, I would say – I would carefully say that based on what we see and the discussions we are having with all of the Tier 1 operators in this particular region, there is a good chance that we will continue seeing this business coming strong also in the quarters to come. But this is a very cautious assessment based on discussions that we are having with them about their plans. They are not committed yet to any of these discussions. We also see a trend up in other segments of this particular region because the number of use cases where additional capacity is required, and it is required fast, are growing. And as a result of that, we also see a certain trend up in demand also in other segments. It’s less, so to speak, impactful on our business at this point, but we are very much encouraged by the up trend of the increased funnel, and we believe that this will fuel our business in the near and the long-term in a very significant way.
Ronen Stein: I will just add to Doron’s points and point to what he mentioned earlier about one very nice win in City of Cincinnati. So, this was also released, and it shows that we have a good trajectory there as well.
Scott Searle: Okay. Very helpful. And if I could, shifting over to India quickly. Doron, obviously a key market for you, and I know it’s a little bit early to start thinking about ‘24. But I am wondering if you are starting to get some visibility into this sustained level, or greater as you kind of look into 2024 in terms of the build-out cycles, and where they are from a 5G perspective?
Doron Arazi: Yes. So, as we have said in our prepared comments, what is fueling our success at this point in this year is a combination of 5G rollout and continued 4G rollout, where the 4G rollout at this point is taking the vast part of our success. Based on our discussions with the different operators as well as the opportunities that we see in the market, we believe that, generally speaking, the business could be as strong in ‘24 as it is today, and maybe even higher. But I think that the portion of the 4G at a certain point relative to the 5G will start going down. So, generally speaking, we expect to see the same strength and maybe even bigger business in 2024. I think that the mixture will start gradually moving towards more 5G and less 4G.
Scott Searle: Got it. Very helpful. And lastly, if I could, Doron, on the product front, it sounds like you are tracking from an ASIC perspective to bring down the BOM costs as you go into 2024 and beyond. But it sounds like there are some other products as well that are in the pipeline. I am wondering if you could elaborate on that a little bit more? Are you talking more from a software perspective in terms of network management capabilities or some other products that we are going to start to see rolling out to the marketplace in the second half and 2024 timeframe? Thanks so much.
Doron Arazi: Sure. Not less than – not more than a year ago we announced that we intend to come up with another version of certain products that will be, I would say, more appealing from a TCO perspective understanding that the current product offering that we have could address very nicely the technological needs, but sometimes not in – with the right TCO. And as we have said that in the past, now we are coming to the stage where we actually deliver to our commitments. And in the coming few months, we hope to start announcing the launch – commercial launch of these new products. It’s not on account of the longer plans using our new system-on-a-chip. And obviously, it’s an addition to our product portfolio. Just to augment the current portfolio with more products that can address more use cases with the right total cost of ownership.
Scott Searle: Great. Thanks so much. Nice job on the quarter.
Doron Arazi: Thank you so much.
Ronen Stein: Thank you.
Operator: [Operator Instructions] Our next question today comes from the line of Gunther Karger. Please go ahead. Gunther, can you hear us. Our next question today comes from the line of Alex Henderson. Please go ahead.
Alex Henderson: Great. Thanks. I wanted to go back to the next-gen chip with a much higher capacity capabilities. You indicated that you probably expect to see that shipping out in product and generated revenues in 2024. I was hoping you could give us a little bit better sense of the trajectory of that? Is that very late in the year? Can you do it by mid-year, that type of stuff? And how do you think that, that product will unfold in terms of initial start-up costs versus eventual margins, whether that product will produce margins that are above corporate average when it’s matured of somewhat, or is it a drag to margins upfront as it starts to launch?
Doron Arazi: Yes. So, we were talking about launching the first product in our product line using this chip during 2024. The current assumption is that it will not have a very meaningful impact on our revenue in 2024. This is the basic assumption that we are currently using. It could be that we will have positive surprises. But at this point, this is our basic assumptions. In terms of margins and BOM cost, obviously, the trend and the history shows that as the products become more and more mature, you can take costs down. And obviously, if volumes are high, this will actually enable us to even accelerate the cost reduction. However, the idea behind this chip is not only coming with all these features and capabilities. It’s also system-on-a-chip that is meant to position us even in the starting point when we start manufacturing this product in mass production with a cost structure that is at least equal or even better than our previous products if you obviously compare feature-to-feature and performance-to-performance. So, all-in-all, we believe that the starting point of this product is going to be quite appealing. And obviously, when we have the rest of the product portfolio that will still be sold for a very long time in parallel, we expect that we will be able to sell these products from the store with decent gross margins. And down the road, these gross margins will even improve as the volume of the product that is being sold is going up.
Alex Henderson: Do you expect any start-up costs associated with that, as you are doing the initial very small volumes, I would assume that those will probably start off at a loss for the simple reason that the volumes are so low?
Doron Arazi: So, one of the things we are doing is basically when we prepare to manufacturing, we also look into the equipment that we have today for manufacturing and to what extent we will be able to leverage this equipment instead of actually either buying new equipment that fits better to this particular product. So, in this respect, we are very, very efficient. And we are probably going to use a significant part of our existing equipment, including testing equipment for these products as well. And therefore, we don’t anticipate, I would say, any significant costs that are associated with manufacturing this particular product in small quantities.
Alex Henderson: Okay. And just going back to the marketing side of this, how important has this product been in terms of the roadmap in winning new customers, particularly in North America, but generally speaking?
Doron Arazi: Look, I think Ceragon is very well known for the strength of its radios and the total cost of ownership. The IP-20C, which was launched significantly, I would say, in 2013 or 2014, one such a big business for us, because of this combination of very strong radio with a relatively BOM cost, that could create a very interesting total cost of ownership to our customers. I think that this system-on-a-chip will actually come with the same message to the market. You will see much stronger capacity capabilities, especially if we look at the E-band with a cost price, or with price line that is by far better per gigabit than the current proposals that are in the market.
Alex Henderson: I guess what I am asking here, Doron is, are your Tier 1, Tier 2 customers looking at this product and saying, I want to be more closely tied to Ceragon because this product is coming down the pike. And it looks like it’s disruptive, and therefore, you are getting some benefit, halo benefit on your current orders in anticipation of its availability? So, it’s not a 2025 revenue impact. It may actually be impacting revenues earlier in the sense that people are choosing to go with you because they see that in your roadmap?
Doron Arazi: Generally speaking, the short answer is yes. To be more elaborative, look, the position we are having in Tier 1 operators is primarily because they know how strong we are in building radios that fits their needs and their standards. And this is a general notion. And obviously, we have already started sharing the things that are coming, and I believe that this is one of the consideration why they keep a very, I would say, close relationship with us, even in some cases where they are not yet, I would say, a very big customer of us, but they know what’s ahead, and therefore, they are keeping this relationship very close. Let’s not forget that we are not disclosing to our customers very specific features before we finalized and discussed the roadmap in more details within Ceragon. And when the time comes, we will obviously share more information with the customers.
Alex Henderson: Great. Thanks.
Operator: Thank you. We have no further questions. Please proceed.
Doron Arazi: To close, we are encouraged by our first half results. We delivered strong revenue and significantly improved profitability. Bookings have been strong, providing us with good visibility into the third quarter, and we believe that we are well positioned to achieve self-sustaining cash flows as we execute on our growth strategy. We expect that our product roadmap will give us a durable competitive advantage. We are increasingly excited about Ceragon’s opportunities. I look forward to updating you further on our next call. Have a good day everyone.